Operator: Ladies and gentlemen, welcome to the Givaudan 2023 Half-Year Results Conference Call and Live Webcast. I am Ali, the Chorus Call operator. I would like to remind you that all participants will be in a listen-only mode and the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Gilles Andrier, CEO. Please go ahead.
Gilles Andrier: Thank you, operator. Ladies and gentlemen, welcome to our 2023 half-year results conference call. I will be on this call with Tom Hallam, our CFO. We will take you through the presentation before answering your questions at the end. The company news on our half-year results 2023 was published on our website this morning. This is where you will also find the slides for today's presentation. Along with the media release you will find our 2023 half-year report on our website. I'd like now to start going through the presentation. I invite you to turn to Slide number 3 to go through the performance highlights. So I am pleased to report a solid performance in the first half of 2023, with particularly strong sales growth in three areas: Fine Fragrances, high growth markets and Europe. In an environment where we are still facing demand challenges in some key markets and business segments, I am very happy with our continued strong focus on supporting the growth of our customers around the world. With sustained higher input costs in 2023, Givaudan continue to implement price increases in collaboration with our customers to fully compensate for those increases. And finally, I am happy with our delivery against our profitability improvement initiatives. As always, these results also demonstrate the resilience of our business supported by our natural hedges [build] across product categories across types of customers, thanks to the balanced geographic footprint Givaudan has. I'd like to highlight that the two largest potential growth areas we chose for our current 2025 strategic cycle are delivering to our expectations. Over the last two years, local and regional clients have averaged a growth twice as big as for the globals. They represent now 55% of our sales. And in the same way, the second strategic area, which are high growth markets have averaged a growth 4x faster than the mature markets. In the first half of 2023, we reached sales of CHF 3.5 billion, a growth of 2.4% on the like-for-like basis, and a decrease of 3.2% in Swiss francs. As I just said, this performance was led by Fine Fragrances, high growth markets and Europe against high comparables. Our pricing actions to recover the absolute amount of input cost inflation have been effective and they included two parts in the first half. The first part was the carryover effect from 2022 as well as the price increases for 2023, which were effective at the start of the year. As a consequence, pricing was the major driver for our like-for-like growth, a little more than 6% average price increases for the group and a 4% decline in volume for the group as well. Decline in volumes was notably strong in North America, driven by a combination of customer destocking and weak consumer demand. We achieved a comparable EBITDA of CHF 803 million. In local currency terms, this comparable EBITDA grew by 4.6% versus the prior half in 2022. It represents an underlying EBITDA margin of 22.7% compared to 22.5% in the first half of 2022. In January, we presented specific actions to help us recover by 2025, our margin ambition both at the gross margin level and at the EBITDA margin level, respectively, in the range of 42% to 44% and 22% to 24%. Six months on, I can say that we have made good progress with those performance improvement initiatives, delivering both at the gross profit margin level and the EBITDA level. Finally, our initiatives to restore a good cash conversion translated to a significant improvement of our free cash flow, which is reaching CHF 104 million in the first half, which represents 2.9% of our sales. So overall, I'm pleased with the solid performance of our business, demonstrating the resilience of our company, our focus on supporting our customers and our ability to capture opportunities. Let's now turn to Slide 4. On the like-for-like basis, our Fragrance & Beauty division grew 6.4% and our Taste & Wellbeing division was slightly down at minus 0.9% versus the same period in 2022. As mentioned earlier, these numbers include a strong pricing elements, reflecting the ongoing recovery of our input cost inflation. By the end of 2023, we will have fully achieved our pricing objectives for both 2022 and 2023. Part of the difference in growth between the two divisions is explained by the difference of comparables, a record 7.6% for Taste & Wellbeing, and a more normal 4.7% in the first half of 2022 for Fragrance & Beauty. The other reason is the strong exposure of the Fragrance & Beauty division to the very dynamic beauty and luxury sector, which shows in the double-digit growth of our Fine Fragrances business. Let's turn now to Slide 5. In the first half of 2023, high growth market delivered 8.9% growth, maintaining a good momentum since the start of 2023. Despite the high comparable in 2022, Latin America kept performing very well; the Middle East contributed with strong growth levels as well; in Asia Pacific, we achieved a strong performance in India, partly offset by a slow recovery in China and the soft growth in Southeast Asia. In mature markets, sales decreased overall by 2.6%, almost entirely driven by the decline in North America. While the strong demand in Fine Fragrances fueled the good performance in Europe, particularly in France and Italy. North America has been experiencing a decline in sales due to customer destocking in the context of an improving supply chain, compounded by the Shrinkflation and weaker consumer demand overall for both divisions. Our presence in the high growth markets has always been a key driver for our growth and continues to be one of our key strategies for 2025. Structural demographic trends, the ever-growing middle class and the strong urbanization trends will continue to support the growth of these markets. Our market position and our operations footprint give us a unique exposure to these high growth markets in which we continue to invest both with additional talent and new facilities to service the wide diversity of our clients. Please now turn to Slide 6. I'd like to highlight again the sales development by region for the group. As you can see, EAME has delivered a very strong growth followed by Latin America. EAME grew 8.5% on top of a record 13.7% in the first half of 2022 when it was supported by the strong post-COVID recovery of most product segments. It is also worth mentioning that Middle East is contributing to this performance and has enjoyed continued very high growth within EAME for both divisions. Sales in Latin America continued to perform well despite another high comparable in 2022 with the growth of 11.1%, driven mainly by Argentina and Brazil. The growth in Asia Pacific was 3.2% with flat sales in China, double-digit growth in India and a more subdued growth in other parts of Southeast Asia, notably Indonesia, Vietnam, and Thailand, and the mature markets of Australia and Japan. Finally, North America growth was a negative 10.6% like-for-like sales performance in 2022, while similar trends for both divisions – with similar trends for both divisions. I have already mentioned the reason for this volume decline, which affects the two divisions in all parts of the business. Let's turn now to Slide 7. Fragrance & Beauty sales were CHF 1.672 million, an increase of 6.4% like-for-like and an increase of 1.6% in Swiss francs. The good growth was driven by the very strong performance in Fine Fragrances with sustained high levels of new business, as well as the positive impact of price increase across all businesses. On a business unit basis, Fine Fragrances sales increased by 16.2% like-for-like against a high prior year comparable growth of 17.9%. This strong growth was maintained across prestige both in Europe and in high growth markets with regional customers as well as a good traction in travel retail. Consumer product sales increased by 3.7% like-for-like with some improved momentum in the second quarter and sales of Fragrance Ingredients and Active Beauty increased by 4.4% on the like-for-like basis against a high comparable of 8%. Now let's turn to the next Slide number 8. Taste & Wellbeing sales were CHF 1.863 billion, a decrease of 0.9% on the like-for-like basis and a decrease of 7.1% in Swiss francs. On a regional basis, sales in Europe increased by 3.6% on the like-for-like basis. In South Asia, Africa, and the Middle East, sales increased by 19.1%. In North America, sales decreased by 11.7%. In Latin America, sales increased by 10.5%. And finally, Asia Pacific sales decreased by 5% on the like-for-like basis impacted by the weaker performance in Southeast Asia and the strong comparable of the prior year. Within the product segments, there was strong double-digit growth in snacks and good momentum in sweet goods, whilst weaker volumes in other segments resulted in a reduced sales level compared to the same period in 2022. With this, I'd like to hand over now to Tom, who will give you more granularity on our financial results. Tom, over to you.
Tom Hallam: Thank you very much, Gilles. It's also my pleasure to welcome you all to our conference call. As always, Gilles has taken you through the solid business performance of the group as well as the main aspects of the market and regional development. I would like to focus on the group's financial performance and those of the two divisions in the first six months. So let me start with the performance highlights on Slide 10. Group sales for the first half of 2023 were over CHF 3.5 billion, an increase of 2.4% on a like-for-like basis, which excludes the impact of acquisitions as well as the currency impact. In Swiss francs, sales decreased by 3.2% all due to the impact of currency. The reported EBITDA decreased to CHF 763 million compared to CHF 816 million in 2022. However, the underlying EBITDA margin remains strong and increased to 22.7% in 2023 compared to 22.5% in 2022. Net income was CHF 449 million, an increase of 2% compared to 2022. When measured in local currency, net income increased by an excellent 9%. The free cash flow as a percentage of sales was 2.9% in the first six months of the year compared to minus 4% in the first six months of 2022. Absolute free cash flow was CHF 104 million, which is an outstanding improvement of CHF 250 million. Net debt to EBITDA was 3.7x compared to 3.1x at the end of the year and 3.45x at the end June 2022. In the following slides, we will cover the Group's performance in further detail as well as the financial performance of both divisions. Please turn to Slide 11, which shows the exchange rate development. This slide shows the comparison of the exchange rates in the first half of 2023 versus the same period in 2022. In the current year, mainly due to the ongoing geopolitical instability and economic uncertainties, the Swiss franc has continued to strengthen against most of the major currencies in which the Group operates with the corresponding impact on the sales in Swiss francs as mentioned earlier. However, overall from a profit perspective, the impact has been limited because our operational and geographical spread continues to provide a good natural hedge and our EBITDA margin remains solid and well protected against currency fluctuations.  Please turn to Slide 12, which shows the Group operating performance. In 2023, the Group's gross margin increased to 41% compared to 40% in 2022. The gross margin dilution effect of the pricing actions to compensate for higher input costs as well as the lower cost absorption due to lower volumes was offset entirely by the first results of the profit – performance improvement program announced and initiated at the beginning of the year. The program is aimed for operational excellence and margin improvement through organizational simplification, working capital improvement as well as footprint optimization. The EBITDA decreased to CHF 763 million Swiss francs in the first six months of 2023. However, in this period, the Group incurred costs of CHF 40 million mainly related to the Group's performance improvement program. Excluding these costs, the underlying EBITDA margin improved to a solid 22.7% in 2023 compared to 22.5% in 2022, an increase of 5% on a currency neutral basis. On the next two slides, I would like to spend a moment on the performance of our two divisions, starting with Fragrance & Beauty on the next slide. Fragrance & Beauty sales increased by 6.4% on a like-for-like basis and 1.6% in Swiss francs to CHF 1.7 billion. The sales growth was driven by a continued strong performance in Fine Fragrances as well as the impact of price increases across all businesses to compensate for the higher input costs. The division recorded CHF 383 million of EBITDA in the first six months of the year compared to CHF 362 million in 2022. The EBITDA margin was 22.9% on a reported basis and an excellent 24.3% on an underlying basis. If you now turn to Slide 14, we will continue with the Taste & Wellbeing performance. The Taste & Wellbeing division recorded a Group decrease of 0.9% on a like-for-like basis and 7.1% in Swiss francs due to lower volumes in 2023. Total sales recorded were CHF 1.9 billion. The reported EBITDA decreased to CHF 380 million from CHF 454 million in 2022. The reported EBITDA margin in 2023 was 20.4% and on an underlying basis, the EBITDA margin was 21.3%. The margin was impacted by lower volumes, which could not be fully compensated with other savings. Please turn to Slide 15, which shows the net income of the Group. Income before tax increased to CHF 516 million from CHF 512 million in 2022 as a result of lower non-operating expenses compared to the prior year. Although interest costs increased due to higher borrowing costs, the Group incurred significantly lower realized and unrealized losses on FX derivatives. The net income was CHF 449 million or 12.7% of sales. The Group's effective tax rate decreased to 13% in 2023 compared to 14% in June 2022. Basic earnings per share was CHF 48.69 in 2023 compared to CHF 47.74 in the first semester of 2022. Please turn to Slide 16 for the cash flow performance of the Group. During the first six months of 2023, Givaudan demonstrated an outstanding free cash flow when compared to the same period last year. The Group recorded a solid free cash flow of CHF 104 million or 2.9% of sales compared to minus CHF 147 million or minus 4% of sales in 2022. The operating cash flow for the first six months of the year was CHF 340 million compared to CHF 131 million in 2022. The increase is partly explained due to the improvement in working capital cash flows, which is one of the aims of the performance improvement program. The Group also continued its investment to support the growth in all markets. As such, total net investments were CHF 128 million in the first six months of the year and as a percentage of sales, net investments was 3.6% in 2023 compared to 4.5% in 2022. Working capital increased to 31.2% compared to 29.6% in June 2022 with the increase mostly due to the negative currency effects of the reported sales in Swiss francs. When measured in local currency, net working capital was 29.3% of sales, therefore an improvement compared to the prior year. Please turn to Slide 17 to look at the amortization of intangible assets. This slide simply gives you a projection of the perspective of the future expected amortization as we stand at the end of June 2023. Please turn to Slide 18 to look at the debt profile of the Group. The Group continues to have a well-balanced debt profile with a weighted average effective interest rate of 1.83% compared to 1.74% at the year end. Furthermore, this slide shows you the maturities of our debt profile. In 2023, the Group exercised its first option to extend its multi-bank committed credit facility for an amount of CHF 1.25 billion with one additional year until June 2028. And if you turn to the next slide, Slide 19, you will see that the net debt-to-EBITDA was 3.68x compared to 3.07x in December 2022 and 3.45x in June 2022. With this, I would like to conclude my part of the presentation and hand back to Gilles.
Gilles Andrier: Thank you, Tom. So as a reminder, the company's 2025 ambition is to deliver sustainable value creation for all stakeholders. Givaudan's 2025 strategy is fully inline with its purpose and places customers at the heart of our business, supporting them to grow and creating products that are loved by consumers. Let me remind you the main foundations of our current strategic cycle. The 2025 strategy is focused around three growth drivers: Expand the portfolio of products; extend the customer reach and focus market strategies. It is supported by four growth enablers, which are aligned with the company's purpose domains, namely creations, nature, people and communities. These three growth drivers and the four enablers are all underpinned by commitment to excellence, innovation and simplicity in everything we do. Let's turn now to Slide 22 that reminds you of the performance commitments of the 2025 strategy. We are actually at the midpoint of our five-year strategic cycle and as I mentioned earlier, so far, business trends, customer needs and consumer behavior are confirming and reinforcing our strategic choices. Ambitious targets are an integral part of Givaudan's 2025 strategy with the company aiming to achieve an organic sales growth of 4% to 5% on a like-for-like basis and a free cash flow of at least 12%, both measured as an average of the five-year period strategic cycle. In addition, the company aims to deliver on key non-financial targets around sustainability, diversity and safety linked to our Givaudan's purpose. I am confident we are on the right path to deliver these ambitions. Let's turn now to Slide 23. Our company purpose is about creation in the first place, the cornerstone of which is innovation. The core of our innovation is about working on the more than 300,000 briefs a year and winning more than our fair share is the only way to compensate for more than the average 10% erosion of our business so that we can deliver our average sales growth meeting the 4% to 5% long-term targets. We continually seek new ways to anticipate consumer needs and help solve our customers' challenges and create value for them. While developing creations that contribute to happier and healthier lives and reduce the impact on the environment. In 2022, we invested CHF 522 million in R&D among the highest in our industry. Let me give you a selection on our most recent innovations. In Taste & Wellbeing, it is about shaping the future of food and creating food experiences that consumers love. The first one Cereboost an American Ginseng extract delivering scientifically substantiated cognitive health benefits with three published clinical trials, Cereboost impacts the gut-brain axis, activates the brain during cognitive tasks and have shown improved mood and cognitive performance. The second one, Sense It helps bridge the gap between what consumers perceive and what they are actually able to express. Consumers know if they like or do not like a product, but have difficulty explaining the why. The strength of the Sense It language is that it allows usage in virtual environments when alternatives to in-person consumer testing are needed. In Fragrance & Beauty, sustainability is a key driver for creativity and innovation. The first one, Geogaia features Phytogaia, capturing the well-being benefits of molecules emitted by forest trees and Thalassogaia mimicking the composition of the marine environment developed according to our Naturality Guide principles and fully biodegradable. Myrissi actually a company we had acquired is a new way of translating scents into color patterns with the unveiling of its consumer-centric artificial intelligence technology. As e-commerce remains the privileged channel for customers, we must answer their need of an effective digital experience, something impossible to address until now. We allow, therefore, consumers to smell visuals and colors that elicit the same emotions as the perfumes they are facing. Customer Foresight. As an important part of its 2025 digital strategy, today, Givaudan has launched lastly, the Customer Foresight. This exclusive proprietary futurescaping platform built in-house at [Digital's] Digital Factory in Paris, leverages Givaudan's human expertise, big data and AI to anticipate tomorrow's challenges, foresee consumer expectations and create winning food experiences. And finally, the B-Biome Score, a microbiome-friendly and scientifically demonstrated method, allowing beauty brands to quickly understand the impact of active ingredients on the skin microbiome. Let's turn now to Slide 24. New Climate and Innovation Act was passed on June 18, 2023 in Switzerland. All Swiss companies, whether listed or not, should develop a decarbonization roadmap or potentially review and strengthen their existing plans. Our decarbonization roadmap has been in place since 2010. It's an integral part of our purpose commitments being climate positive before 2050 with interim milestones that you can see on this slide. As well as meeting stakeholder expectations and increasing customer requirements. Finally, it has been part of our long-term incentive plan for two years now. Our KPIs on carbon reduction are disclosed on an annual basis. Looking at our 2022 achievements, we are on track with our ambitions and reductions shown in this slide, which highlights our progress compared to our 2015 baseline, both on Scope 1 and 2, but more importantly, we are progressing very well with Scope 3 reductions based on the robust raw material model and collaboration with the CDP supply chain to engage our suppliers in this climate journey. So minus 35% on Scope 1 plus 2 and minus 1% on Scope 3. We are now at 90% renewable electricity. We confirm that input costs should – sorry, let's turn now to Slide 25. So let me now give you some thoughts about the coming months. We remain very well positioned for delivering on our 2025 strategy. Our brief pipeline to support the growth of our customers is currently very strong. We confirm that input costs should increase around 5% for the full-year of 2023. And as you held through this plantation, we are delivering on the pricing actions to compensate for higher input costs. In terms of our performance improvement program, we are maintaining a strong focus on operational excellence, reviewing the manufacturing footprint and reducing inventory levels as supply chain pressures is out. Our organization simplification will be completed by 2023. As indicated in January, restructuring costs of up to CHF 60 million are expected for the full year 2023 with CHF 40 million in cash and CHF 20 million non-cash. With this, ladies and gentlemen, many thanks for your attention in this presentation. Tom and I are looking now forward to your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Daniel Buerki with Zürcher Kantonalbank. Please go ahead.
Daniel Buerki: Good afternoon everyone. I have two questions. First, on the volume decline. I cannot remember, this is something we have ever seen before. Is there something special, especially in the U.S. with the consumer weakness at the moment? And my second question would be on the optimization of your factory footprint is this part of the existing program or a new cornerstone and does it fit in the existing financial framework for it? Or will you get additional savings out of this footprint optimization. Thank you.
Gilles Andrier: Okay. Thank you. Daniel. So I can answer for the volume decline. So overall, we are talking, yes, minus 4% around the world. I don't know if I can remember either being there maybe in the course of the financial crisis, maybe not because we were actually up 2%. In the U.S., it's a very significant volume decline as agreed. At the same time, the sequence we have left, obviously, COVID rebound inflation. This sequence plus the war between Russia and Ukraine is obviously unprecedented. So I would say that overall, it's recreating a rippling effect. When you're looking at obviously the volume declines, it's a combination of different factors, which are difficult because the first people we ask is our clients, obviously, but difficult to sort of isolate between the different reasons. The first one has to do with destocking because clearly, we saw with the let's say, the difficulties that our clients had, especially in the U.S., to source materials from all over the world in 2021 and then early 2022, a very significant uptake on inventories level to make sure that they would not lose the sales. So now we are – they are obviously more in the phase of destocking. The second thing that we can say is that it's obviously a partial view because the only clients who publish their figures are obviously the public clients and usually the large ones, and they usually differentiate volume from pricing. So what we can say is that the volume decline is clearly reflected in their figures, especially in Q1 and then in Q2. What we can say is that by analyzing those figures and ours as well as by history. There's a time lag usually between what the experience and what we experience. We always come after. So the volumes – evolution of those key clients can be a leading indicator on us. But at the same time, we have to be careful because global clients only represent, as I said, 40% to 45% of our sales and actually local and regional clients representing the other half. And they don't publish their numbers. Those local regional clients are actually doing – we are doing well, even though the volumes are slightly down. Destocking, consumer intake, consumer spend, the inflation is certainly playing a role in the ability for consumers to buy products. And then the difference maybe between what we – obviously, I put Fine Fragrances on the side. Fine Fragrances is, obviously, quite stellar. If you accumulate the growth over three years, we are 60% bigger. So that part I've never seen as well. But if we compare Taste & Wellbeing, consumer staples with consumer products, consumer staples. They follow actually exactly the same trend. They correspond to day-to-day consumption. Again, many of those products have seen price increase by our clients. And so the correlation between the two is actually quite perfect. If you look at the different, let's say, the last two to three years. So essentially, that's what we can say. The consumer staples arena is whether on the food side or the fragrance side is following a bit the same trend. The only last thing I would say, the only difference between CP and sale, which I've seen in China – came back from China two weeks ago is that you have an alternative to buying packaged food, which is cooking at home. You don't have an alternative vis-a-vis fabric care, home care and personal care. The bathroom is not competing with those products. So it’s true that you see some – especially in some of the high-growth markets, people coming – going back to the countryside and cooking at home, that obviously has a headwind on the volumes for Taste & Wellbeing. But all those elements are difficult to measure destocking consumer spend and all of those things. But at some point, obviously, the destocking part makes us stop. So then on the optimization of the footprint, I'll pass on to Tom.
Tom Hallam: Yes. Thanks, Gilles. And Daniel, thanks for the question. This is a program that we had talked about now three, four years ago. We – as you know well, we've made a number of acquisitions. And the objective, once we completed these acquisitions was to look at the total footprint of Givaudan. So not just the acquired companies, but also our own footprint and to see how we could serve our clients in the most efficient way. During COVID, clearly, all of this was put on hold because it was all about supplying products to our customers. And so now this is a program that we've reinitiated. So it's not a new program. It's something that we clearly communicated over the last three or four years. We talked about potentially €20 million this year of non-cash, which would really be – if we decide to reduce the number of sites that we have in our footprint. And in terms of how you should think about it into our forecast and into our performance in outer years, I think we've been very clear in terms of where we want to be from a gross margin perspective. Gilles mentioned the 42% to 44% as our let's say, our ambition on gross margin and EBITDA margins getting back to 22% to 24%. And this program is clearly one of the levers that we have. So not a new program. Simply now we have the ability to act on it.
Daniel Buerki: Thank you.
Operator: The next question comes from the line of Celine Pannuti with JPMorgan. Please go ahead.
Celine Pannuti: Thank you. Good afternoon, everyone. Maybe my first question, I wanted to come back on what you said, Gilles, around the U.S. I understand destocking and the weak consumer demand. Nonetheless, we've seen that this is accelerating, let's say, worsening sequentially. So I was wondering whether you've been looking into where your customers are in terms of their own inventory destock or let's say, safety stock cleanup? How are we – how much are they done? And then how – you are the first one to report. How should we think about your market share? Do you feel that you are competitive? Or have they been areas where you've been maybe losing out versus the market? That's my first question. My second question, which would be maybe a color on that is, you were expecting volume to bounce back in the second half of the year. What is your outlook on volume? And I see, for instance, some regions like Asia, Europe sequentially weaken at least in T&L, whether you would expect that to drag on in the second half. And then maybe lastly, pricing came in stronger than expected. Why was that? And how should we think about the fading impact into – does it change the way we should think about the fading into the second half? Thank you.
Gilles Andrier: Okay. So about the U.S. Celine, I mean the deceleration in the U.S. is not incrementally worse. It's a question of comparable. Actually, it goes from, I think, 9.9 to 10.9 something like this. So I don't think that the trend is accelerating in terms of this decline – this volume decline. I would say that some of the clients not only talk about their own destocking, but they're just talking in the retail distribution channel, so that can play a role. We are – from what we measure essentially, it's both. The performance of the U.S. for us is measured against what our clients are doing in the U.S., but also from what we gather in terms of competitive reporting from competition. I would say that we are not losing market share at all. There are only two things that, especially in 2022, affected, I guess, a little more than others is the exposure we have on plant-based proteins, where we are clearly the leader there, which declined quite significantly in the U.S. So for sure, that was something incrementally worse than maybe competitors. And the second thing has to do with alcoholic sales, which actually had fueled the growth the year before and basically decline. So that's the two things which are not extremely material, but still, they have weighed a bit on the volume decline in the U.S. to figure out when all this will stop difficult. I would say that the only thing we can say about the U.S. is that as fast I think a decline, things can pick up, but I really don't know when. That's the real thing that we don't control. Again, the only thing we can't control on volumes, whether in the U.S. or elsewhere, is the amount of new wins. It's about being brief. It's about winning business. And there, we are in very good shape across the different businesses. You said that on the volumes – sorry, the price increase. Well, the price increase essentially has two components for 2023. As you remember, we said that we had fully recovered the 10% increase of raw mats in 2022, but I would say one-third of that was spilling over in a way in 2023, given the fact that there is always a time line between raw mats increase and the time where we can negotiate price increase effectively with our clients. So here, you have a significant, let's say, contribution of the price increase from 2022 to 2023. And then given the fact that we had already anticipated a 5% increase in 2023. Everything was negotiated already end of 2022. So 1st of January, we were able to benefit from the price increase corresponding to this 5% increase. So we had no essentially time lag. So that also helps. I would say that your question about when does this go the way? Well, basically, by the full-year of 2023. I don't think that we – maybe we have CHF 10 million or CHF 20 million spilling over from 2023 to 2024, but that's it. So we'll get the full impact in 2023 for those two components. Yes, so that's about it.
Celine Pannuti: Thank you. Just wanted to – if you could comment on Europe and Asia, which we saw was sequentially weaker I mean, obviously, we have seen as well that, especially in Europe, the strength that you've seen over the past couple of years. Just wanted to know whether we could be in normalization as you have seen in the U.S.?
Gilles Andrier: Yes. But wait a second. I mean, Europe, we have 5.7% against the comparable of 13.5% selling. So to the question of Daniel, have I ever seen that? No, I have never seen cumulative growth of 20% in Europe ever. So I think I don't see exactly the sequential decline in Europe. And the second thing on Asia Pacific, that's different because the comparable on Asia Pacific is 1.7%. So what we can clearly say is that we are not back where we should be in Asia Pacific outside essentially, China is flat, Southeast Asia is really soft. So there, we can only expect and hope things get better quickly in China and Southeast Asia.
Celine Pannuti: Thank you.
Operator: The next question comes from the line of Charles Eden with UBS. Please go ahead.
Charles Eden: Hi, good afternoon. Thanks for taking my questions. Two from me, please. I just wanted to come back on your comment around the Staples customers typically being a leading indicator for Givaudan's volumes because I appreciate the destocking will come to an end at some point in the next couple of quarters, and I think everyone sort of understands that. But if anything, Staples volumes, which have so far been surprisingly resilient, from an elasticity perspective, are expected to sequentially deteriorate in the coming quarters. And I don't want to extrapolate one data point, but if you just look at General Mills is obviously reported already. That appears to be the case. So is there a risk that volumes may not have even troughed yet, just be interested in your thoughts there. And then changing a little bit. My second question is on the pricing contribution from Latin America. Because if I look at the stacks on the like-for-like sales, they're trending about 80-plus percent above 2019 levels in place and well-being, about 70% at the group level. And yet the absolute sales in LatAm is a sort of 25%, 30% higher. So I guess my question is, how are you accounting for FX pricing in these markets? And maybe what was the FX pricing contribution of the overall pricing in the quarter or the half? Thank you.
Gilles Andrier: Okay. So maybe Tom starts with the Latin America question?
Tom Hallam: Yes. Thanks, Gilles and thanks Charles for the question. So in Latin America, it depends very much on the market and sometimes even on the – on what we can do from a legal framework. But if I look at, let's say, Brazil as an example. Primarily, we are pricing in dollars because in the end, most of our markets are priced in dollars are raw materials are priced in dollars, and many of our customers are doing exactly the same thing. But ultimately, we are invoicing in reals. If you look at a market like Argentina, in this, it's a bit of a mixed bag. So in some customers, we are invoicing in pesos. And in other cases, we're actually invoicing in dollars. And then, of course, we're protecting ourselves all the way through on the peso side to make sure that we are not exposed on any devaluation. And then in Mexico, it's primarily a dollar market. So that's how we're trying to grow the business, protect the business. I think if you look overall at Latin America, it's been a very, very solid growth. You mentioned on – you more or less have mentioned the Swiss franc and the like-for-like numbers. So there is a component of FX pricing in the topline. But ultimately, we have been growing in the market over the last 10 years, very, very consistently. It's a market with a huge amount of dynamism. On the Fragrance side, a very, very dynamic market in Brazil. And then in some markets on the pay side, such as beverage. It's really a great market on the beverage side. So great underlying performance, and we protect the business on – in hard currencies.
Gilles Andrier: Yes. Just your question on volumes because, obviously, okay, you can look at it from various different angles, trying to get the truth out of it. In the first place, I think we need to stay humble in terms of where do the volumes go from now. Yes, the destocking can be an indicator but for that, we would not have to know what level of stock to have our clients, our distributors and so on. But that's, for sure, it will come to a stop at some point. The second thing I'd like to say is that – actually – and that's what I mentioned in my presentation, maybe one of the best – so two indicators. One is what I said about the fact that when we look at the ones who publish their figures and you mentioned one, what's true is that there is a time lag which is for sure, three to four months. So that's why I say it's the leading indicator, but again, for only 40%, 45% of the full market. So that can be a leading indicator in terms of where the growth goes from now on, but being mindful that there is the other 55%, which are local and regionals, which are usually doing better. So that's why actually overtime and I think one or two of you analysts actually did that in your reports, if you look at over three to four year period. The average volume growth of all clients, which published their figures is lower than the industry of ingredients. So because local reasons are growing faster than the global, that's the fact. So that's helping us going forward. And the other thing I wanted to say is that you also have essentially – certainly an effect of down-trading from global to local. But again, the exposure of Givaudan is the widest. We, actually, represent 25%, 30% of the market in consumer staples with taste consumer products. So that has no effect on the volumes. So the shrink of the volume is really industry-wide across all types of clients. And as no – I mean it has no consequence on the mix of clients due to Givaudan. So basically, that's what we can say about the clients. And the last thing I'd like to say is that if you average the volume growth of Givaudan, I would say, consumer staples, again, taste and well-being and consumer products. The first fact is that they follow the same trend over two, three, four years. And the second thing, when I said to Daniel Buerki, we've never had a sequential of COVID and so forth, rebound and everything. Actually, the growth over the last three to four years in volume, is more or less ballpark positive, around 2% to 3%. So we had a huge surge in 2020. Remember, there was a plus 15% on all the consumer staples. And then if you take this base going onwards, you basically have a CAGR, which is more or less 2% to 3% on consumer staples. So it shows that overtime, the consumption has not been dented. It's really the ripple effect of all the things which happen. That's the best answer that I can give you on the volumes, but we feel confident. We are really part of things which are consumed every day, whether on the food and beverage side, whether on the consumer product side, we don't see any radical changes in the way consumers consume. And so that's – and we have the best sort of exposure with those natural hedges I talked about across clients and categories.
Charles Eden: No, that's really – really appreciate the insights. But can I just ask one very quick follow-up. Tom, are you able to quantify the impact of that FX pricing in the half? Or is that not something you've got to hand? Thank you.
Tom Hallam: I don't have it Charles. I can follow up with you afterwards.
Charles Eden: Most appreciated. Thank you.
Operator: Your next question comes from the line of Nicola Tang with BNP Paribas Exane. Please go ahead.
Nicola Tang: Hi, everyone. And thanks for taking the questions. Thinking about the volume drivers other than just destocking. I think you mentioned Gilles shrinkflation and also weaker consumer demand at the CP, yes. And I was wondering – what does that mean for Givaudan? Does it just mean lower volumes? Or does it actually trigger new innovation with customers? I was wondering if there's been any change in willingness to innovate? And then the second question, just on the Fine Fragrance side, you mentioned the stellar growth in the market being 60% bigger than it was three years ago. I think if I look at Q2, it looks like the growth rate has slowed a bit sequentially, albeit still double digits. Can you talk a little bit about your expectations for the second half of the year in Fine Fragrance? Thanks.
Gilles Andrier: Well, I already, I think, dived into many ways on the volume decline. Yes, I can just pick the shrinkflation, but that's very, very difficult to measure because shrinkflation what does it mean? It means basically that if potentially a part of dairy, weighs 100 grams instead of 125 grams, those that point x percent of flavors. For sure, we're going to sell less flavors. But that part, we have absolutely no way to measure in any way the way our clients apply fragrances or flavors. But clearly, it can play a role in the shrinkflation. In terms of pipeline, we see a whole diversity of briefs. We still see a very good and solid sort of share of briefs which deal at innovating at creating superior products and so forth. Yes, you can have briefs, which are there actually to optimize cost to – the cost of whether a flavor of fragrance, but also the sort of indirect cost impact of the food – what we call the food stuff, the base of food, where you sometimes need to compensate with better flavors when you change the formulation. So all those briefs, which are, as you – as I mentioned, extremely numerous, we see a huge diversity and Givaudan we are extremely active to respond to this bid, but also to seize opportunities in a market, which is, obviously, changing also from a competitor standpoint. The thing on Fine Fragrances, I really don't get it. I mean, I'm still extremely happy when the sales go from 16% to 14%. This is absolutely stellar. And obviously, you almost have arithmetics. The further we go with double-digit growth by definition, the comparables become tougher and tougher and the relative growth becomes weaker. So – but overall, I think we have increased our business since 2019 by 60% or 70%. So very happy with this.
Nicola Tang: All right. Thank you.
Operator: The next question comes from the line of Lisa De Neve with Morgan Stanley. Please go ahead.
Lisa De Neve: Hi. Good afternoon and thank you for taking my questions, Gilles and Tom. So I have three. One, I would come back to the pricing, but maybe think a little bit further out. So we have seen some raw materials deflating year-to-date. And I understand very well that you may not see this given your inventory levels and contracts in place and so forth, but I would like to understand whether actually some customers may already have approached you to maybe ask for some pricing back in specific ingredients? And if not, I mean, how do you think about pricing when deflation becomes more evident in the future? That's the first question. Then the second one is on your EBITDA. So congratulations on your EBITDA margin delivery in the first half of the year, but would you mind helping us understand the key moving parts that we should consider in the second half maybe in the absence of significant volume growth depending on the comps and so forth? And last one, a little bit more of a high-level question. So you shared some of the R&D highlights year-to-date, but you also mentioned innovation that has been developed via AI technology. Can you sort of share how you personally will believe that AI will drive your innovation and your topline growth over the midterm. So just would be very good to get your thoughts on this? Thank you.
Gilles Andrier: Okay. So maybe on the EBITDA, you want to take it, Tom?
Tom Hallam: Yes, I'll take it first, Lisa, thanks for the question. So just on the next, let's say, six months of EBITDA, clearly, the number that we can give you is the one that's coming from what we call the profit improvement programs. You remember that we talked about around CHF 40 million of savings this year. We had about CHF 10 million to CHF 15 million of benefit in the first six months of the year with the remainder to come in the second half of the year, so around CHF 25 million. And then we will have another CHF 20 million in the first six months of 2024. So that's probably the easiest number for you to plug in. Then as we've mentioned, of course, we will have the corresponding price increases for the raw materials. 5% inflation on raw materials and then the price increase. Of course, as Gilles mentioned, in the first six months of this year, we had the two elements of pricing. So the rollover from 2022 and the start of the price increase for 2023. And of course, that's something that will slow in the second half of the year. I think maybe, Lisa, what's important is just to look at where we position ourselves. We have a very clear ambition to get back to historical margins of somewhere between 22% and 24%.
Gilles Andrier: The question on raw mats and pricing. As I said, we absolutely confirm the 5% increase of raw mats overall. Again, as a reminder, we buy more than 16,000 different ingredients. So yes, you might see one or two commodities going down and so on. But again, all of those ingredients whether – and for the most part, they are naturals, are highly specific. So actually, you would not find any indication on any website or any Bloomberg. And so essentially, I can confirm that those input costs are growing in the total amount of 5%, and we don't see any indication. Actually, as a – let's say, as an indication, if you look at the evolution of raw mats overall for Givaudan, over 10, 20 years period, you will have had, let's say, in summary, two of – I would say, three big increases. One was in 2012, the other one in 2017. The other one is 2022, 2023. But actually, the market never really went down significantly. So the index – if you take an index of 115 or 20 years ago, it has substantially increased to today. So we are not, again, in the chemical sector. We are not in the commodity market. We are not in any of that. And that's why you don't find it's not a cyclical evolution of prices, as you might think. So and the last question on AI, interesting question. So we started investing on AI quite significantly with our both internal resources but also outside resources with two digital factories, one in Paris, one in China, which I visited actually a couple of weeks ago. And to your question, AI for us applies on two different, let's say, types of applications. One is really to do what we do in both even more effective, but also efficient way. When I say effective, meaning creating better fragrances, better flavors, helping our perfumers, our flavors. Seeing what they don't see, but also leveraging on what they understand. So it's really an expanded capability of our creation development, let's say, resources. And that is some of the things you've seen already, but [indiscernible], AI around creating fragrances out of the knowledge around thousands and thousands. So there's a lot going on around how can we create better fragrances, flavors products also apply to Active Beauty, by the way. And also in the way we work, meaning the interactions with our clients beat at the front stage of marketing, finding consumer trends. That's what we find around leads, around the Foresight, some of the things I mentioned, but also helping our clients market their products, the bridge to colors, the bridge to – see for example, all of those things help us being more efficient and effective. And I didn't mention, for example, all the bots AI, bots, which are robots in the supply chain that we have in GBS. All of those things are making the Givaudan let's say, capabilities even more effective and efficient. And the second range of applications has to do with expanding. So how can we expand with what we call the tail end of local, smaller and smaller clients that we see. We are in a world of still a very buoyant, let's say, creation of start-ups around food, beverage, cosmetics, skin care, fine fragrances, but we cannot afford creating full-fledged perfumes, flavors and so forth for those what we call tail end clients, mobilizing all the resources. So we really have AI tools where we go end to end, not only finding those and discovering those trends, but serving them with what we call smart submissions, speaking from our thousands and thousands of references in a very smart way, that's using very advanced AI digital tools. And that's the way to expand the sales. You could put basically in front of that, expand itself. So actually, to put a number behind all of what I said is difficult, but we are – it doesn't prevent us from investing, trying, piloting, implementing and we are making very good progress on those two fronts.
Lisa De Neve: Very interesting. Thank you so much.
Gilles Andrier: Thank you.
Operator: The next question comes from the line of Isha Sharma with Stifel Europe. Please go ahead.
Isha Sharma: Hi. Good afternoon. Apologies for going back to pricing, but if I just look at what we've had in the first half of the year, it's around CHF 230 million. Are you still guiding for CHF 260 million for the full-year like you did with the last quarter? Does that mean that we only have CHF 30 million more to come in the second half? And on the net working capital, I had another question. Despite the volume declines, we did not see a significant unwind. Is it mainly driven by pricing? And can we expect this swing to still come in the second half?
Tom Hallam: So Isha, if you want, I can take both. So firstly, on the pricing, we had – as we've said, we had 9% raw material inflation last year, fully compensated, but with the timing difference into the first six months. And then this year, we have 5% of inflation, which we fully compensated this year. So you know the raw materials, and I think you can make the calculation from there. On the working capital, I'm really happy with actually the progress that we're making on the working capital. I mean if you look at our raw materials this year up 5%, which means that our inventories on a pricing basis have gone up by 5%. We are able to still see the benefits of some of the actions we've started to reduce the volume of our inventory as the supply chain gets better. That's – you don't see the full impact in the first six months of the year. We've got the building blocks in place. We also have sometimes the seasonality of the crops during the first six months of the year. And if you look historically what we've done inventories have tended to peak around, let's say, June, July time. And then from there, we've reduced inventories. The performance of the free cash flow, I think, overall in the first six months is excellent given the raw material inflation that we have in our inventories. And then if you look at our expectations for free cash flow over the next couple of years, we have a strong commitment to a more than 12% free cash flow. And clearly, inventory is the single biggest component of that on the working capital side.
Isha Sharma: Thank you.
Gilles Andrier: Okay. I think we'll take the last question, operator?
Operator: Okay. Today's last question comes from the line of Matthew Yates with Bank of America. Please go ahead.
Matthew Yates: Hey. Thanks so much. I think it's mostly been covered. I was just going to go back on the performance improvement program and whether you're just able to disaggregate that a bit more by division. Obviously, we can see the magnitude of the charges you took in the first half, but is it reasonable to assume that the price or the payback is equally spread between the two divisions, if it's primarily around historical M&A actions, which I think have been fairly evenly distributed across the company? Or is there some – is there one division you expect to benefit more than another in the second half?
Tom Hallam: Yes, I think – so Matthew, I think we have two elements. The first is the reduction in the workforce of around 600 people. That's evenly split across the two divisions and the support functions that support those two divisions. One point maybe just to be absolutely clear on is that there is no impact on R&D. There was no impact on the commercial side of things. What we've seen over the last 12 months is an improvement in the supply chain. We've seen the environment in which we operate in our factories becoming much simpler as a result of many of the restrictions being lifted on COVID. So we would expect to see most of the benefit actually in the gross margin, but very evenly spit between the two divisions. Then on the footprint, clearly, we see more opportunity on the taste side. Many of the companies that we acquired had a very, very fragmented footprint, and we see more opportunity on the taste side actually than we do on the fragrance side.
Matthew Yates: Thanks, Tom.
Gilles Andrier: Okay. So that was our last question, and I'd like to thank you all for your questions. This ends now our call I'd like to remind you that we are holding on the 30th of August in Zurich, in the Widder Hotel, our traditional half year conference. And we will welcome everyone to join whether physically or online. It will be focused. The theme will be about local and regional clients – local and regional customers and exciting topic for both divisions. So I look forward to seeing you there at this event, and I thank you again for your attention.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.